Operator: Good day and thank you for standing by. Welcome to GASS First Quarter 2022 Conference Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there will be the question-and-answer session. [Operator Instructions] Please be advised, that today's conference is being recorded. I now would like to hand the conference over to our first speaker today, Michael Jolliffe, Chairman of the Board. Please, go ahead, sir.
Michael Jolliffe: Thank you very much, Nadia. Good morning. This is Michael Jolliffe and joining me on our call today is Harry Vafias, our Chief Executive Officer and Konstantinos Sistovaris, who will be handling the Investor Relations, to discuss the financial aspects. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, if you could all take a moment to read our disclaimer on slide two of this presentation. Risks are further disclosed in StealthGas filings with the Securities and Exchange Commission. I would also like to point out that all amounts quoted, unless otherwise clarified, are implicitly stated in United States dollars. Today, we released our earnings results for the first quarter, which was also the first quarter of trading as a pure LPG company, and we saw fantastic improvement compared to last year. So let's proceed to discuss these results and what we see in the market in general. Turning to slide three. We summarize the highlights of our first quarter. In the first quarter of 2022, we faced an improved LPG market, particularly in Europe, hence, we took the opportunity and continue to secure more vessels trading in the area on period charters. On the other hand, the market in Asia was stable, but we also managed to secure more period charters. In terms of operational utilization of our fleet at 92.7%, it was at similar levels to last year, a figure we aim to improve as we had one vessel to dry dock and did experience off-hire days on the spot ships. However, we marked an 18% reduction of spot days quarter-on-quarter and 65% year-on-year, managing to earn better returns on time chartered vessels than on spot ships. We now have 59% of our fleet days secured on period charters for the remainder of 2022. In total, fleet employment days for all subsequent periods generating almost $70 million and that excludes the joint venture vessels in contracted revenues. In terms of our sale and purchase activity during the quarter, we completed the previously announced sale of two vessels, the Eco Loyalty and the Gas Inspiration to their new owners. In addition, in the current quarter, we entered into an agreement for the sale of our oldest 5,000 cubic meter LPG vessel, the 1997 built Gas Monarch, again, for further trading, and we delivered the vessels on May 23. All these transactions further enhanced our cash base. Looking briefly into our financial highlights, we need to keep in mind that in the last year's quarters mentioned, besides any sale and purchase activity, are included the four tankers that were part of the spin-off last December and are no longer in our fleet. In quarter one 2022, voyage revenues came in at $35.9 million, $1.5 million lower than in quarter one 2021, partly as a result of fewer vessels on the spot market and partly due to the fewer number of ships, including the four tankers. Overall, comparing the LPGs in our fleet, we saw a rise in revenues year-on-year and this can be seen in the TCE revenues that came in at $31.6 million compared to $30.5 million last year, an improvement despite having fewer ships. Where we can better see the effects of the absence of the tanker vessels is in the operating expenses, where there was a $2.2 million reduction to $12.9 million and in depreciation expense, where there was a $2.5 million reduction to $7 million. Our net profit for the quarter was $7.6 million compared to $0.8 million for the same period last year. Whilst from an adjusted basis, excluding impairment charges, we ended the quarter with net profits of $8.8 million compared to $0.6 million in quarter one 2021 and $2.8 billion in quarter four 2021. Our adjusted income for the quarter corresponds to an adjusted EPS of $0.23. We manage this while at the same time increasing our cash and cash equivalents from $31.3 million at the end of last year to $70.4 million at the end of quarter one 2022 or $82.4 million including restricted cash, mainly through the sales we completed and the refinancing of six vessels during the first quarter. We continue to be well-capitalized, maintaining a low debt ratio of 37%. Let us move on to slide four for our fleet employment update. In terms of charter types and as of May 2022, and out of a fleet of 34 LPG operating vessels, excluding our seven joint venture vessels, we have two on bareboat, 30 on time charters, and only two in the spot market. At the end of last year, we had four vessels on bareboat charters, two of these expire towards the end of quarter one, and the remaining two we will get delivery from their bareboat charters within the coming weeks. Since our previous announcement, we successfully concluded eight new charters and charter extensions. These new fixtures involved vessels previously on bareboat or in the spot market, were all done at similar or improved rates. Our period coverage for the remainder of 2022 is in the order of 59%. We have close to $70 million of secured revenues going forward, $55 million of which is expected to be received within the remainder of 2022, similar figures to the previous quarter. In slide five, I would like to provide an update as to our two joint ventures, where we also saw improved performance in both contributing $1.7 million to our bottom-line. Since our last call, all vessels are now time chartered. Our first joint venture, which comprises in its majority of smaller LPG vessels at the gas defiance time charter for three months, while in our second joint venture, comprising of two medium gas carrier vessels plus one more under construction. Gaschem Bremen was chartered for a one-year time charter. During the first quarter, we received $1 million in dividends from the joint ventures improving our cash flow. Our drug venture arrangements combined have a solid cash base of about $43 million. We do not expect to have any CapEx related to the delivery in 2023 of the newbuilding medium gas carrier as the joint venture itself has enough cash-in-hand after the sale of one vessel last year to fund the acquisition together with any finance proceeds to be arranged. After all, the rise in newbuilding prices across all sectors includes these medium gas carriers and underpins the financing to be sold. In terms of our fleet geography in slide 6, our company focuses on regional trade and local distribution of gas. This graph is a snapshot of the positioning of our vessels, excluding our JV vessels as of May 2022. Currently half of our fleet, 16 vessels trade in Europe, 14 vessels trade in the Middle-Far East and two vessels trade in the US and Caribbean, and three in Africa. Given the better market in Europe, we would expect to see more vessels moving there if the opportunities arise. I will now turn the call over to my colleague, Konstantinos Sistovaris for our financial performance.
Konstantinos Sistovaris: Thank you, Michael, and good morning to everyone. I will discuss our financial performance for the first quarter of 2022. Let us turn to slide 7, where we see the income statement for the first quarter of 2022 against the same period of the previous year. Voyage revenues came in at $35.9 million, marking a decrease of $1.5 million, about 4% compared to the same period of last year, partly due to the fewer vessels in the spot market. Our spot market actually decreased by 65% and partly due to the fewer number of vessels, we had 36.5 average vessels in the first quarter of 2022 versus 41.6 average vessels during the first quarter of 2021. We should also note the increase in the voyage and TCE revenues of the four handysize LPGs in the fleet that were all chartered at higher rates in a stable market, albeit starting from a lower base. Voyage costs decreased by $2.7 million compared to the same period last year. This decrease in voyage expenses was partly due to the absence of tankers in the 2022 results and partly due to the decrease in spot base where we are responsible for the voyage costs of these vessels. Based on all of the above, our net revenues for the period were in the order of $31.6 million, compared to $30.5 million last year, about 4% up. Operating expenses saw a significant reduction of $2.2 million, about 15% compared to Q1 2021 due to the fewer number of vessels, where we to exclude this effect, our OpEx would be along the same levels as last year, a positive result given that we continue to face cost pressures, particularly in crew cost due to the COVID-19 pandemic. In terms of drydocking costs, we had $0.4 million in the first quarter of 2022 from one vessel. We expect to drydock another five vessels during the year. Depreciation is another item that saw a large decrease from $9.5 million to $7 million due to the decrease in the number of vessels. During the previous quarter, there was also an impairment charge of $0.5 million related to the sale of the Gas Monarch that took place in the current quarter, and the 0.4 million loss on the sale of the Gas Inspiration. Interest and finance costs declined considerably from $3.1 million to $2.4 million, partly due to the decrease in the average debt during the comparable periods, and partly due to the decrease in the average cost due to our reduction in the loan margins. We expect this trend to reverse in the future as we will start seeing the effect of the recent interest rate increases in the coming quarters. As a result of all the points analyzed above, we ended the first quarter of 2022 with a net income of $7.6 million, and adjusted net income that is excluding impairment and vessel sales of $8.8 million, corresponding to an earnings per share of $0.23, a ten-fold increase compared to the mega $0.02 of the same period of last year. Looking at our balance sheet in slide 8. Our liquidity, including restricted cash was at the end of the quarter in the order of $82.4 million, a substantial increase from the 52.8 million in the first quarter of 2021 and $45.7 million in the fourth quarter of 2021. The increase in liquidity came primarily from the re-financings and vessel sales and secondarily from operations and an increase in payables. We also received a $1 million dividend from our JV investments during the first quarter. The total value of our investments in our JV is $54 million. The overall outstanding debt is $300 million, similar to the levels at the end of last year. We expect our debt amortization going forward to be in the region of $7.5 million per quarter, while it was close to $10 million per quarter a year ago. Furthermore, we have no planned capital expenditure at this moment. Concluding our financial commentary with slide 9, we will briefly discuss our debt profile and capital structure. As mentioned before, since the beginning of 2021 and up until February 2022, we underwent the important project of refinancing 20 vessels, thus succeeding in first, reshaping our loan portfolio and deferring balloon payments. Our first balloon payment is now due in March 2025; and second, enhancing our free cash by about $16 million, an outcome of our last refinancing that took place in February. We also reduced our average loan margin as all the new loans were at lower margin levels than the previous ones. Compared to the end of last year, we slightly increased our debt, but our net gearing remained low due to the increased liquidity. After the sale of the Gas Monarch, we continue to have six unencumbered vessels. During the first quarter, we also entered into a new swap arrangement to hedge part of the interest rate exposure. As a result, interest rate hedges are in place for 36% of our debt. I will now hand you over to our CEO, Harry Vafias, who will discuss market and the company outlook.
Harry Vafias: Going on Slide 10, we are providing some insight on the LPG market. Needless to say that given the current geopolitical tensions in Ukraine, along with the ongoing COVID-19 pandemic, it's very difficult to foresee our markets performance. On the positive side, during the first few months of 2022, the US, the largest exporter of LPG has ramped up its exports over 10%, and China has been importing a bigger share of its LPG imports from the US. However, China, in the first quarter of the year decreased its imports as a results of the COVID-19 policies. It has followed with a 7% year-on-year decrease. We expect that this will reverse and China will continue to be the main demand driver. But for the time being, such a slack in demand is being filled by increased imports from other Asian countries, particularly India, that surge imports rise by 17%. India, mainly source its LPG from the Middle East, so some of the LPG has been redirected from US to Europe. Now 30% of European LPG imports are from the US, and it's possible we see increased volumes in the future. In addition, LPG imports of Northwestern Europe are expected to increase in the years ahead on the back of a rising petrochemical demand. European intra-regional LPG trade is a large market for small LPGs and has held pretty well given the circumstances. The continued war in Ukraine has created difficulties in trade in Russia, even though we speak to the US and Europe have not sanctioned LPG imports. As a result, we expect European countries to try and reduce their dependency on Russian imports. The biggest importers of Russian LPG have been Poland, Finland and Ukraine, usually done through railcars, so a disruption in imports could be counted either from other sources further or far or from switching to alternative fuels. It's not yet clear what the impact will be. We can only hope that the war will end soon. Slide 11, we present the key fundamentals of our small LPG market commencing with market shares evolution. During Q1 2022, rates improved slightly, all small LPG sub-segments on a quarter-on-quarter basis, not as large as an increase as we witnessed year-over-year, particularly for the vessels trading in the West. Looking at the small LPG trade, West of Suez, the healthy spot market through the winter months are continuing into spring and owners have enjoyed the tight market and healthy number state. At times, cargos have been withdrawn due to unavailability of vessels. We don't expect the correction in the market leading to a summer and activities to slow down somehow. But the market is quite well balanced, and it doesn't take more than a couple of vessels to leave the area in order for things to be tight again. East of Suez, the spot market in Asia remained quite active until around the time China locked down Shanghai. And since then, things have been less active, especially on the petchem side. Hopefully, a reopening in China will give a boost to the market once more. However, we are now going to the turnaround maintenance season for the petchem plant. So we don't expect too much change in the market for the next couple of months. On the period side, activity has been lower, but rates have generally remained at a healthy level. We have, however, since several vessels leaving Asia and going to the Atlantic in the last five months. So this has been a positive in keeping a reasonable market balance in the region. The fundamentals for our core fleet continue to look promising. There continues to be an overhang of many older ships in the fleet over 20 years of age, which we expect will keep scrapping activity elevator sooner or later. New environmental regulations will also make it harder for older vessels to trade. The ordering activity continues to be subdued partly because of difficulties in finding the yard availability and partly because newbuilding prices have risen together with a recent surge in inflation globally. New environmental regulations related to emissions and a lack of clear direction on the matter of fuel choices make the ordering of new ships and more risky decisions. As per recent published orders, there are 19 vessels in order, 9 in Japan and Korea and 10 to be built in China to be delivered until the end of 2024. That we consider translate to favorable sub 2.5% annual increase in the fleet before scrapping. Slide 12 presents our company share performance since the beginning of 2022. Our share price has risen over the few past months in a very volatile market, albeit it has lagged behind crude oil rises and other companies in the wider sector. Gas stock still trade at a discount to NAV. In Slide 13, we are outlining the key variables that will affect our performance in the quarters ahead. Given the market turmoil, especially now with the current situation in Ukraine and the COVID situation in China, it's quite difficult to make market predictions. Our strong points going forward is that, we have a sizable and quite diversified LPG fleet that we can easily leverage upon any further market improvement and continue to have manageable debt levels. In addition, and as we have seen in the past, the oil price surge may increase demand for LPG, particularly for industrial use. Our market fundamentals are quite solid as we enjoy a relatively low order book, while 27% of the industry fleet is above 20 years of age. On the downside and given the recent geopolitical crisis, inflationary pressures on our cost may become stronger.  Regardless of the global situation, our focus in the following quarters will be to adapt -- to now to the seaborne trade in our LPG market will shape, while relying upon our strong fleet and robust capital structure. We feel confident that our strategic decision to make StealthGas a pure-play LPG company across the border LPG spectrum will pay off and strengthen our asset returns. At this stage, our Chairman, Michael Jolliffe will summarize our concluding remarks for the period examined.
Michael Jolliffe: Thank you, Harry. We are very pleased with the results we announced today as it was one of the best quarters for our company over the last few years. Following the strategic decision to become a pure player in the broader LPG market, this was the first quarter that the StealthGas fleet consisted of only LPG carriers of various sizes. During the first quarter, the improving LPG market continued its upward trend, and we managed to capitalize, posting improved profits of $7.6 million one of the best quarterly results in many years. On an adjusted basis, our EPS for the quarter was $0.23. We also managed to contain cost pressures, particularly related to crew and bunker prices that continue to push our cost base. That being said, we continue to operate in a challenging geopolitical environment with the war in Ukraine and the COVID-19 pandemic, particularly with regards to the situation in China, still ongoing and creating more uncertainty for the future. Now we can also add economic uncertainty as a result of high inflationary pressures and rising interest rates. How all this will affect the LPG shipping market and whether we will be able to benefit from any change in trade patterns remains to be determined, as this is a market that is still seeking direction. Going forward, we cannot predict our market's reality, especially in such turbulent times. However, our sizable fleet, our market strong fundamentals, LPG rates improvement in the first quarter of 2022, along with our healthy capital structure are the strong points on which we will rely, no matter any potential market disturbances we might need to face. We have now reached the end of our presentation, and we would like to open the floor for your questions. So operator, please open the floor. Thank you.
Operator: Thank you. Dear participants, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Chris Robertson from Jefferies. Please, ask your question.
Chris Robertson: Good morning, gentlemen, and thanks for taking my questions.
Harry Vafias: Good morning.
Chris Robertson: So it looks like you have seven scheduled drydockings this year. Can you talk about kind of the cadence around that? How many were completed during the first quarter? And what's your expectation for total off-hire days this year?
Harry Vafias: We had one already, but it's not easy to calculate the off-hire, because that will depend on where -- in which country the drydockings will take place. And it also depends if China will be open for drydockings, because that makes a huge difference on costs and off-hire. So I think we have to see that closer to the drydocking dates.
Chris Robertson: Are any in the yards during 2Q, or are you trying to wait it out to see what happens with the China easing lockdowns?
Harry Vafias: As market is hot, obviously, we try to delay it as much as it's allowed by cash. We don't have any vessels now on drydock. And as I said, if China does open, that will be a big project reduction on cost and off-hire, because China is cheaper than most other places.
Chris Robertson: Okay. Got it. And for that one that was in drydock during the first quarter, I believe it was off-hire of 61 days during 1Q. Was that 100% related to that one vessel?
Harry Vafias: No, I don't think that's right. We can check and come back to you, if you want to send us an e-mail on it.
Chris Robertson: Sure. I'll follow-up with you offline. Thanks for that. I guess, with the market improving now and the shares still trading below NAV, aside from a general market improvement in the LPG sector, what do you think is going to drive kind of a narrowing of that discount to the NAV?
Harry Vafias: Consistent quarterly profits.
Chris Robertson: Got it. That makes sense. Okay, guys. Thank you very much for the time. That's it for me.
Harry Vafias: Thank you.
Operator: Thank you. The next question comes from the line of Eric Newman from TowerView. Please ask your question.
Eric Newman: Hey, good morning, Harry. Congratulations on obviously a very strong quarter. As you guys know, we've been very long-term supportive shareholders. And my question is on capital allocation also. You guys have historically been pretty opportunistic. You sold stock when it's gotten close to book value. You've repurchased shares in the open market and even launched the tender. But your stock now trades at $2.64. The book value at report is $12.80 per share, and you've continued to sell shares, including this past quarter -- excuse me, ships, including this past quarter with minimal impairments and now we have a pretty meaningful cash balance. So, why doesn't it make sense even given uncertainty and continued uncertainty to repurchase a meaningful amount of stock at this level, or if the book is truly salable at anywhere near these prices, how does it continue to make sense to operate the business? And what are the better uses of cash if not to repurchase stock? Thanks, guys. Appreciate it.
Harry Vafias: Thank you, Eric. As you know very well, the biggest mistake that investors do is that they are too quick to judge either on the upside or the downside. The stock is still at these levels, because we just announced results. And I guess most investors want to see if that good market persists or not, which we have seen in the past, the same psychology and mentality from the shareholder base. Now, you've seen we've sold three ships, both young and old and crystallized NAV, which again emphasizes the fact that, our NAV is about the numbers you talked about. And indeed, at this level, we are indeed cheap. But if we have two, three quarters with very good results and the stock price is still at about those levels, then your point will be absolutely right. We had previous quarters where the numbers were not good and obviously, people were disappointed and they did not expect that we could have this huge turnaround. Our net income this quarter was up 900%. On top of that, don't forget, the stock is not very liquid. But in the end of the day, you know we'll take the right decisions. I'm the largest shareholder. So, obviously, what is best for me is best for all of you. And of course, if we continue to have these profitable quarters and the cash balance is big as it is now, of course, we will buy stock cost as we've done before. If we have never do it, your point would be accurate. But as you said, we've done it before and we actually did a tender offer in the COVID times, which I don't think many companies had the guts to do. So, the shareholders that were patient will be rewarded as it happened in the previous upturn in 2009-2010.
Eric Newman: Thanks Harry. Appreciate it.
Harry Vafias: Thank you, Eric.
Operator: Thank you. [Operator Instructions]
Harry Vafias: I see that there are no questions, other questions. So, we'd like to thank you for joining us at our conference call and we are looking forward to having you us again for our Q2 2022 results in August. Thank you very much.
Operator: That concludes our conference for today. Thank you for participating. You may all disconnect. Have a nice day.